Operator: Good day, everyone, and welcome to today’s Annual Results Call. At this time, all participants are in a listen-only mode. Later you’ll have an opportunity to ask questions during the question-and-answer session. [Operator Instructions] It is now my pleasure to turn today’s program over to Brendan Hopkins.
Brendan Hopkins: Thank you, Anthony, and thank you all for joining us today. We have a brief safe harbor and then we’ll get started. Except for historical information contained herein, the statements in this conference call are forward-looking statements that are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties that may cause our actual results in future periods to differ materially from forecasted results. With that said, I would like to turn the call over to Warren Kruger, CEO of Greystone Logistics.
Warren Kruger: Thank you, Brendan, so much. I just want to welcome everyone to the call. We do want to talk about last year. It already seems so far in the past that May 31st was our year-end. But, we will go over -- Bill Rahhal will be going over the financial results very shortly. I just want to kind of give you a global view of where I see the Company going. And I’m very proud of -- we put out a press release yesterday -- very proud of the margin. We really strive to work on the margins. We had a horrible period -- 2021 to 2022, I’m sure everybody on the call has their own stories about that time period. But 2020 was so surreal. And then in ‘21 we -- the freeze down in Texas, the polyethylene market was turned on its ear and from about January of 2021 till about August of 2022, we’d never experienced a price increase in the recycled polyethylene market, like we did during that period. It was a very, very strange thing, and it forced Greystone to adjust its prices up dramatically. And when you have a 50-pound part or a 40-pound part and all of a sudden you’re saying to your customer, well, it’s $0.30 more a pound. They say, okay, we’ll put off ordering. So, we had a lot of that during our last year. And then in about August of ‘22, things turned around and it’s been great since then. Prices have come down and we’ve actually lowered some of our pricing to get people to order. [Technical Difficulty] been in Walmart. Walmart continues to be a very viable customer, a great deal of product to them. And we are working on a grocery store pallet for a large U.S. grocery customer. We have a mirror [Technical Difficulty] we’re bringing on that is -- it’s the same on the top as it’s on the bottom basically. And that product is for the quick crew [ph] type industry, something that the nut industry where you can’t -- you have to have exactly the same on the top and bottom. We’re excited about that. We have a brand new can pallet that would work in for aluminum can manufacturers that need large platform size. So, we’ve been working on that. We also -- during last year, we bought an extrusion company that had a robotic extrusion, made hollow plastic boards. And we are very excited about their -- they had a few issues. The company has been really about 20 years worth of research and development. And they had Toyota and Honda that were testing for about a year and a half, and they were approved and pick off in 2020. And of course, everyone knows that COVID affected everything and pricing went crazy and they just ran out of gas. And so, we were fortunate enough to pick up that business. And we have a very, very capable gentleman that we also put on board that has over 20 years worth of knowledge in the pallet industry. And we’re very excited about having him on board. We’re making some adjustments to the dyes on that particular product to -- we want to flatten it out. They had some quality things that I wanted to straighten out before we really went to market. We’re also working on a different base for it. So, I won’t get complicated, get in the weeds here, but we’re very excited about it. And why? Our molds on the injection side weigh about 40,000 pounds and they cost somewhere between $250,000 and $400,000 a piece. So if someone says, I need a special size pallet, it’s not for the faint of heart. You need to [Technical Difficulty] write about it, because it’s expensive. Yet on the extrusion side, if someone says, hey, I need 3,000, 43-inch by 32-inch, that’s something that we just cut the boards to that size. So, we’re very excited about that. We believe that there’s -- in the neighborhood on that equipment, $5 million to $10 million worth of revenue just on the existing line. I’m not promising it [Technical Difficulty] but I do think in the -- by year-end, our corporate year-end, we will have a lot of orders in hand and be producing. And it’s a very, very cool process and it’s robotically driven. And of course, for the future with employee issues, we believe that robotics are really going to help all industries. As a matter of fact, in -- many, many of our customers, because they’re going to robotic warehousing, they’re turning to plastic [Technical Difficulty] something that is exactly the same every single time. It doesn’t have nails poking up. It doesn’t have board -- lead boards falling off. And that’s why plastic just continues to be a very, very, very exciting product. And of course, everyone on the call has to remember, most of our product is recycled. And so, we are a very, [Technical Difficulty] we just don’t talk the talk, we walk the walk. We grind and granulate probably a 100,000 to 150,000 pounds a day of plastic, of polyethylene. So, this is real industry. It’s fun to watch. So, that all being said, again, I’m very, very excited about where we are in the future. Let me talk about our biggest customer, iGPS. If you go into a Costco in America and you see a plastic pallet in the rack there, instead of a blue or a red pallet that we probably -- chances are we made that product. And iGPS is a wonderful customer. They buy products from us and then they rent. They’d go out to people like Procter & Gamble or Niagara Water, and they would rent their pallet on a per trip basis. They probably -- we’ve probably provided them well in excess of 5 million pallets over time. And they continue to grow and they continue to be a great customer for us. We also take all their broken pallets and we grind them, we granulate them and we make new BBs to inject into a new product for them. So, it’s a win-win for both of our companies. And I invite anyone whoever wants to be -- to view the facilities in Bettendorf, Iowa. It’s about 2.5 hours west of Chicago. I welcome you at [Technical Difficulty]. I also want to point out that in Palmyra, Missouri, we’ve got a couple new machines that we’re filling. And I’m very excited about that because we’re out of space in Bettendorf, Iowa. So, we are [Technical Difficulty] our reach. The extrusion line, that particular product is manufactured in Jasper, Indiana. So, with that being said, I want to go over the numbers and I’m going to turn the call over to Bill Rahhal.
Bill Rahhal: Thank you, Warren, and greetings to all of our investors who have an interest in Greystone. As Warren mentioned, the sales in fiscal year ‘23, which ended May 31, ‘23, they were down from fiscal year ‘22 for all the reasons that Warren discussed. But the bright news is that our gross margins rose about 5% from fiscal year ‘22 to fiscal year ‘23, and that’s a significant factor. And if you look at our fourth quarter, our sales fourth quarter of 2023 were about 27% of our annual sales or $16 million. But the gross margin in that fourth quarter was 20%. So you see the trend is that we’re coming back to where we’re getting our margins where they need to being able to provide quality -- pricing for our quality value for our investors. Our EBITDA in fiscal year ‘23 was about $15 million. And the fourth quarter of ‘23, our EBITDA was $5.1 million, but it also had the benefit of some tax credits. And if you back out those tax credits, our fourth quarter EBITDA was about $4 million. Looking forward to the first quarter of 2024, we believe that our sales are going to be up about 10% over the fourth quarter of ‘23. We believe that our gross margins are going to be comparable to the fourth quarter of 2023, somewhere around that 20% range. And we anticipate that our EBITDA for that first quarter of 2024 will be about $4 million. So, you can see that the trend’s moving back in a positive direction, and this is before all of the proposed -- our proposed new business that Warren’s out aggressively seeking. So, it paints kind of a pretty good picture as far as Greystone going forward. So, I’m going to go ahead and turn it back to Warren.
Warren Kruger: Super. Thank you so much, Bill. Well, with that being said, we might as well dive right into questions and answers because we’re delighted to ask anything -- answer anything that any of our valued investors want to know.
Operator: [Operator Instructions] We will now take our first question from Anthony Perala.
Anthony Perala: Nice to see new equipment delivered and CapEx flowing through on that. I’m curious if you have any guidance for fiscal 2024, just what you expect capital expenditures to be, now that we’ve gotten that growth spending behind us?
Warren Kruger: Thank you Anthony for that question. Yes, we are going to -- it’s going to be more maintenance CapEx for this year. We did a lot of -- as you know, as you’ve read, we spent over $7 million on equipment last year. And that’s all for the future. I mean, we anticipate that we can generate over a $100 million in revenue with the equipment on hand now. Now, there are -- I might mention, we have been buying different molds for different types of products. I mentioned the mirror pallet earlier. We had a 44x56 earlier that was a partnership that we did in structural foam. We’ve just gotten a new injection 44x56. We’re very excited about that. It’s a great product. It’s much better than our last can pallet that we did have. We’re excited about. We have automobile pallet that we brought out some time ago. It had limited success. And we had General Motors, frankly, who made some comments about what we needed to do to make that product better. So, we are actually making some adjustments to that tool now. So those are the types of things. We just had a new 48x48 injection pallet too. That was another one that we did with a partner in the structural foam business. And we made a decision to make an injection tool. And the 48x48 business for us has been quite robust. So, we will not spend a lot of money, to answer your question, on CapEx this year, except for maintenance CapEx and for molds. And again, our mold [Technical Difficulty] about 250 to 400, most of them the 250 to 300 [Technical Difficulty].
Anthony Perala: That’s great to hear. All sounds pretty exciting. Then on just kind of following on that thread, if you back out the ERC credit, you had close to $2 million of cash from operations, some maintenance CapEx next year, probably some debt repayment. How should we think about priorities for cash after some of those other priorities? Just what you expect to use it on? I’m looking at this time next year, probably have a decent amount of cash on the balance sheet?
Warren Kruger: I’ll leave that up to Bill Rahhal to answer.
Bill Rahhal: We’ve got several -- we are actually generating some cash and that’s -- it’s a real positive thing for Greystone right now to be able to -- be in that position. We’ve never seen that in the past. But we are -- the Board is looking at different alternatives about how to best utilize that cash for the benefit of our investors as well as for the benefit of growing the Company. I don’t know that there’s any -- there’s nothing really -- that we’re really ready to talk about at this point in time. But as these programs start developing, we will obviously make that aware to the investor public.
Anthony Perala: Excellent. I appreciate it. I’ll jump back in the queue. Thanks.
Operator: We’ll now take our next question from Aaron Weinstein. [Eric], your line is now open.
Unidentified Analyst: Thanks. I was surprised that you didn’t mention your large beverage customer in your prepared comments, given some of the large shifts in the light beer market over the last quarter or so. Can you talk about whether or not you expect to benefit from that and how something like that -- how does that -- how long does that take to generally make its way through the supply chain to get to you?
Warren Kruger: Thank you for the question. And it’s -- because of our focus on beer and whiskey and wine and so forth in the past, it may seem -- I probably should have made it clear. These are water and just regular, the soft drink customers. And so it’s a little bit of a change. We have not done much with Coca-Colas or Pepsis or any of that. And two of the -- I mean, huge prospects that we’re working on now are in the non-alcoholic beverage sector. And so, we -- and why? One of them would utilize a size that we have, but another one we’re working on would -- actually requires an odd size. And so that of course requires a tool. And to answer your question about timing, we are doing the design work on that particular tool now. We will -- here’s how it works. We do the design work, it comes back, we approve it, then we [Technical Difficulty] and we send it to the customers and say, okay, here’s the size. Is this good? Yes. And then we do a three dimensional prototype of that product. It’s not exactly -- we can’t put the grommets and so forth. We do a 3D so that the customer actually has the exact what it’s going to look like, in theory. And so that takes about, it’ll take us probably about four to five months to -- we have to get it approved and then we start cutting steel and it’s about four months once we start [Technical Difficulty]. And so again, one of the other customers is someone will be using 48x40s. And since we have those products available, we’re actually pretty excited about having something going in the next quarter with.
Unidentified Analyst: [Technical Difficulty]. On new business, you mentioned 10 million in the new business by around year-end. I don’t know if that was extrusion or all of it. But what’s the strategy there in terms of sales or -- and distribution? Is that something you’ve got direct salespeople doing and you hired more, or is that iGPS or some other strategy on the distribution side?
Warren Kruger: Thank you for asking that. As I mentioned, when we picked up this extrusion line, the gentleman who -- I understand when you have an idea and you take it through, and this gentleman has worked for about 20 years in the industry. He was doing other things, but one of his passions [Technical Difficulty] getting product to market. And he was a victim of bad timing. But when you run out of cash, you’re out of the game. Okay? That’s just -- you have to have access to cash. And he just ran out of cash. And we were fortunate enough that I said, hey, would you stay on with us and work with us on it. So he’s [Technical Difficulty] with Honda and Toyota and some very, very large customers. And so, he’s the one that will be driving that. And I’ll tell you kind of exactly what we’re doing. The product, when you do this robotically, it’s on a robotic welder and it gets very, very -- when the parts come together, the steel is so hot, it’s warping the product at the point of weld. And so, we’re working on -- we’ve got some solutions to that, requires taking the dye and doing some reformatting of the dyes. So those, when they come out, you’re heating not the entire piece. You’re just heating the bottom portion of it. That doesn’t make any sense. I’m not articulating it very well, but that’s the basic. And I’m not going to have a product out in the marketplace that someone says, well, that doesn’t look right. Even though it may be functional, it doesn’t look [Technical Difficulty] let’s make it functional and make it look right as well. And so that’s kind of where we are. And it’s taking of course, more time and more money to get it done than we originally scheduled. But we do have -- as a matter of fact, we’re redoing the dye in Austria. And so it’s just -- it’s one of those things. It’s now in Austria and out of our hands. So, but I am excited about that product because it takes minimal amount of people to run the equipment, and you can set the size that you want and you can just run. And so, it’s pretty exciting, but it’s going to be a small [Technical Difficulty] of our business. It’s not something that’s going to overwhelm our injection side. 
Unidentified Analyst: Okay. And then the last one for me is, sounds like sales are going to inflect, your margins are as strong as you’ve been in a while, if not stronger. EBITDA looks good, and your CapEx seems like that’s going to decline a little bit. What are the thoughts on your cash flow and capital allocation? Are you -- just continue delever or are there more small M&A opportunities, or are there more new product concepts that may be out there in the future for you?
Warren Kruger: Well, I think that earlier before we did this kind of expansion on the CapEx side, we were really pounding down debt. And I like that. We’ve always been over levered, always. I mean, I’ve been in the business 20 years and it’s just crazy amount of leverage we had early on. But that’s how we had to structure, just get to the -- get to where we are today. But we delevered dramatically over the years. And I anticipate that we’re going to continue to pay down debt. But I also think that there are some other things that our Board has discussed on, okay, what’s the best way to allocate cash for our investors. We are always looking for opportunities. But I will tell you right now, I’m a little bit concerned about just overall the economy. I’m going to be cautious about that. There’s a lot of demand, but there’s also a -- it’s just, with employee issues and make sure you have enough employees, and we’re going to be cautious. We’re going to be aggressive, yet cautious. How’s that? If that makes any sense.
Unidentified Analyst: Great. Thanks. And looking forward to the next call, given the insight you provided. Thanks again.
Warren Kruger: Thank you so much, Eric.
Operator: We’ll take our next question from Robert Littlehale. [Ph]
Unidentified Analyst: Has your Board changed at all recently?
Warren Kruger: Bob, I’m so glad to hear from you. How are you?
Unidentified Analyst: I’m good. How are you, Warren?
Warren Kruger: I’m great. We have a guy named Drew Lockard. He’s a Young Turk and he’s a smart young. And we felt in our organization that we needed a little bit more. I’m pretty active [Technical Difficulty] he wanted to [Technical Difficulty] new ideas. And Drew is a very bright guy. He’s worked in large companies in workout situations. And he has -- he’s an investor of his own [Technical Difficulty] well out there. And he has storage [Technical Difficulty] and he’s just a good businessman. Lives in Dallas, Texas. Really good guy. And on that -- along that line, we’ve also added a new CFO. Bill’s on the phone with us today. And I think that this is fair, if that’s okay, Bill? Bill and I’ve been business associates and friends for over 20 years. And Bill is -- although you’d never know it, he’s not a spring chicken. Neither are -- neither am I. So, Bill, we’ve hired a new CFO, who’s -- Bill’s working with. And Bill’s working with us. Bill, are you going to work over the next quarter or do you want to share that?
Bill Rahhal: Yes. I kind of think by the end of this calendar year, I think that this -- the new person, his name is Curtis Crosier. I think Curtis will be pretty well set to just take off the reins. He’s learning the business right now, learning the Company, learning the people. So, as you can imagine, it’s coming into a new situation. No matter how much your experience is, you have to learn the organization. And I sort of see me continually kind of phasing down.
Warren Kruger: Great. Thank you, Bill. And the other -- that’s the only one we’ve added as of late to our Board. But, as we grow, we like independent minded people to -- and so we may very well add another Board member, but that -- we wouldn’t do that probably during this calendar year.
Unidentified Analyst: Is your headcount up or is it constant sort of year-over-year?
Warren Kruger: It’s actually off a few, a little bit. We are probably -- we’re doing a lot of leasing of employees and we’re doing that because it is -- you can -- we just don’t have people showing up in the Quad Cities area in Iowa. You’ve got a lot of competition for employees. So, we’ve been working with some firms that actually draw nationwide and they’ll come in and they’ll get housing lined up, transportation lined up for the employees and it seems to be working very, very well for us. And these are the type of people that will -- who say, we want to work at least one overtime shift a week. Well, that’s really helpful. I know we pay more, but when you have someone who’s saying, hey, give me 48 hours, or give me 60 hours, those are kind of employs you really like to have. So we don’t mind paying a little bit more because we feel we need more throughput out of those type of employees.
Operator: We’ll now take our next question from Joe Russo. [Ph]
Unidentified Analyst: I just wanted to ask, I think, like last quarter we had talked about maybe seeing some additional volumes with iGPS impacting the May quarter. It looks like based on the 10-K, like some of that stuff got delayed, either delayed out of the August quarter and pushed into -- sorry, delayed out of May and pushed into August or potentially, I’m looking at your guide for the August quarter. I think -- my Excel’s freezing out, but I think it’s like something like $18 million of revs. Is the majority of that increased quarter-over-quarter coming from the iGPS delayed resins or how should we think about that?
Warren Kruger: Bill, I can go ahead and answer. We did get some additional revenue towards the end of our corporate year. But we are into a situation now where we are producing extra for them. And so we will see that -- we will have that effect in the first quarter, we’ll see the effect of that extra production.
Unidentified Analyst: So, is that like the majority of the sequential increase or is there -- are there other customers sort of increasing as well?
Warren Kruger: I can’t off the top of my head, remember [Technical Difficulty] wise and Bill may [Technical Difficulty]. But we’ve got Simplot. We’ve been doing some things for Simplot, big potato company. I can’t remember how that revenue’s falling right now. And Walmart, we had some anticipated revenue from Walmart that they pulled back a little bit on that. So, we didn’t get as much revenue from Walmart as we thought during the latter part of the year. And we anticipate picking up some time here in the fall or after the first year. We’ve been into to see them -- everyone is scratching around because of automation and robotics and it really is how much demand we have. So, it’s pretty exciting. And I really appreciate you calling in by the way, Joe.
Bill Rahhal: And this is Bill. And of those you mentioned Warren, some of -- they’re starting off with some smaller type orders, but they’ve got some other projects on the line, which we think should start showing up in the third and fourth quarters.
Unidentified Analyst: That’s great. Just one last one for me. In the past, I think we’ve talked potentially about uplisting. And I know you’re making some moves bringing on another independent Board member as well as making CFO transition. Could you just talk about are these moves at all related to that, and then any updated thoughts on that front?
Warren Kruger: Well, we realize and we’ve had this discussion for 20 years, why in the world we were public early on and so forth. And because we’ve never raised money in the public sector, and it was just -- it was a legacy thing inherited, and in the beginning it was just like, oh my gosh, this -- why are we doing this? Well, it was a way for those who had put money in who could get out if they wanted. So we -- I recognize that there are a lot of people who will not invest in OTC companies. And that affects who -- eyes that are upon our stock. And so we recognize that. So we also recognize that we’re still -- I mean, I’m proud of the size we are, but we need to be heading towards a $100 million range, and we need to be that way. And so we -- well, we want to do what’s best for the shareholders, and so we’re going to continue to work. I would say [Technical Difficulty] in an anticipatory way, we have talked about how best to help our existing shareholders, and we will be talking about that -- our next Board meeting’s September 11th. And there’ll be -- I know there’s a multiple things on the agenda at that. And some of that is about exactly how do we best enhance our shareholder value.
Operator: We’ll now take our next question from Robert Edwards.
Unidentified Analyst: Hey, guys. I’ve been in the stock since 2015, and I got a question about the plastics that you can recycle and not recycle. There’s talk of like plastic bags and certain plastic -- plastic bottles that cannot be recycled. Can you guys recycle those things or not?
Warren Kruger: We -- I will tell you, we [Technical Difficulty] focus on that type of plastic at all. And I will say one thing about the plastics world. There are so many different types of plastics. It’s crazy. Like PET, all the water bottles out there in the world, we don’t do one thing in the PET world. Not one thing. The bottle caps for most PET, like water bottles or Coke bottles, those are polypropylene. So, we don’t do a lot in the polypropylene world. We really focus on polyethylene. And I’ll tell you -- I’m going to tell you a little history lesson here to explain this. 20 years ago, we had -- we were doing everything under the sun. We were -- you talk about buckets, 55 gallon drums, [Technical Difficulty] bottles, we did [Technical Difficulty] sun recycling, and then we bought wash lines and we’ve [Technical Difficulty] and wash plastic and so forth. Well, after 20 years of making plastic pallets and other people making plastic pallets, most of our -- I will say the majority of our stream now is plastic pallets. So, it’s just shocking how many plastic pallets -- I would say, and I’m -- this is off the top of my head, I would guess we probably grind or granulate 700,000 plus plastic pallets a year. It’s just amazing. So, that’s the source of our [Technical Difficulty] it’s just [Technical Difficulty] we are now keeping that site alive by taking those plastic pallets and grinding them up, making BBs and making new ones.
Operator: [Operator Instructions] We’ll take our next question from Joe Russo.
Unidentified Analyst: Hey. Thanks for giving me another question. I’ll make a brief. But I was just curious, like we’ve had price increases on the plastic side, then price decreases. How does -- what is like pricing for a plastic pallet now versus a wooden pallet? What’s the sort of like the multiple that customers would need to pay?
Warren Kruger: Thanks Joe. And I will -- I’m not going to be shifty on this. I’m just going to say that there is a wide range of different types of products on both the wood side and on the plastic side [Technical Difficulty] go to what we do really like iGPS or Walmart. Those are heavy duty, 48x40 plastic pallets. Those would be -- if you go into a Costco and you see -- they’re called -- in the wood industry, they call them block pallets, because they have blocks in the corners. And those block pallets and they’re blue or red, a lot of those are rented pallets by a company called CHEP or called PECO. And they rent those block pallets. Well, those block pallets are about $30 a piece. And those, they have [Technical Difficulty]. And so ours is not quite twice that. And so if you get a 100 times life, you can see the value proposition [Technical Difficulty] a wood [Technical Difficulty] statistically across the United States of America, when it goes out on a trip, it’s touched 7 times. So in other words, it’s offloaded off a truck. It’s put on the factory floor. It’s touched 7 times before you retrieve it again. And that after three turns and one turn is seven touches, they need repair or replace. So, that’s the wood pallet side. And as ours, if we’re a $60 product there and it’s damaged, we’ll take it back in and buy the plastic at the commodity value at that time. So, it’s really -- it’s economically, it’s extremely more beneficial for people to use plastic. It’s always been that initial cap [Technical Difficulty] front side. The other thing that -- always an impediment in the plastics world is the wood pallet industry, they have a very, very, very strong lobby. And so for years they’ve lobbied that plastic pallets are dangerous in a fire situation and that they should have plastic -- that they should have fire retardant additives. And it’s made it very difficult for us in the plastic industry because there are people like Costco who said, hey, we -- our management personnel tell us we have [Technical Difficulty] a fire retardant plastic pallet. Even though they’ve got wood all over the place and they’ve got plastic on every pallet in the entire store, they focus on that. And that’s just a result of the lobbying of the wood pallet. That’s in my opinion. So, we are working on fire retardant solution. We had one 20 years ago that unfortunately had a product called decabromine in it, which is no longer allowed. So, we’re working on some fire retardant solutions add to our plastic pallet, which will drive up the cost, but it’ll allow us to -- the ability to get in Costco in a big way.
Operator: Next up is Russell Valentine. Russell, your line is now open.
Unidentified Analyst: Yes. I’ve got two questions. I called last time. Just want to reiterate again, no plans of reverse split, right?
Warren Kruger: Let me say [Technical Difficulty] I anticipate [Technical Difficulty] there are certain rules and requirements if we want to move up to a different level on shareholder price. And I’m not an expert at that. We are hiring experts in that arena, because if we want the maximum exposure we can, we want people to know about our company. And we believe that if we continue to add revenue and [Technical Difficulty] margins on revenue and grow, then we can go to another level. And so…
Unidentified Analyst: I understand that, but you know that there’s very rarely a time when you reverse split that it comes out positive for the investors.
Warren Kruger: I agree with that. I’m just -- I’m not going to preclude anything. I know that we have -- that has not -- I’ll tell you honestly, that has not been one of the discussions in our Board meetings [Technical Difficulty] has not been [Technical Difficulty] but I’m also reluctant to say -- once you say never, never is a long time.
Unidentified Analyst: One more question. I hardly ever see any news coming out on new business. Do you guys -- when you do new business, do you put press releases out or not?
Warren Kruger: [Technical Difficulty] smaller stuff [Technical Difficulty] periodically. I will say I have been advised by some very competent people that I don’t put enough information out. And so we have -- that’s Brendan is -- who started this call. We hired Brendan to help us. He’s helped us, and we are doing more in that arena now to get exposure out there and to communicate our story and what we’re doing. So Brendan’s very, very easy to work with and good to work with. And [Technical Difficulty] we will continue to see good results from that association.
Operator: It appears we have no further questions. I will now turn the call back over to your presenters for any additional or closing remarks.
Warren Kruger: Bill, I’m going to see if you have anything to close with.
Bill Rahhal: No, I think we’ve covered a large gamut of things, especially from the Q&A, from many of the interested persons. So, I truly believe that we’re well positioned, both financially and to be able to move forward. We’ve got a lot of machine time to fill. So, we’ve got all the capacity that we need to be able to grow. And so, we’re aggressively -- as you said on a conservative basis, trying to move forward and get -- and drive up the value of this company.
Warren Kruger: I want to just tell everyone that took the time today to call in that I really appreciate you -- whether you’re a current investor or not. I appreciate it if you are a current investor. Thank you so much. We work hard every day for our shareholder base. It’s not going to be [Technical Difficulty] road, and -- but we have -- it’s a company you should be proud of because [Technical Difficulty] long way. And for those investors, yet, I encourage you to continue to watch us and if you want to be a part of this, we welcome you to invest in our company. Brendan, you want to finish things out?
Brendan Hopkins: No, I just want to reiterate, thank you everybody. I encourage the investor who wanted to talk about the potential for a reverse to look into what it takes to be on the NASDAQ and maybe decide do you want to be on the NASDAQ this year or in two years? And I’m happy to have that conversation and talk about why strategic, strategic, very small reverses are not detrimental, especially to a positive earnings company. [Technical Difficulty] say we did a 2 for 1 reverse last week, we would be announcing $0.42 in earnings today. And I don’t think any stock pulls back when it’s at a [indiscernible] on $0.42 of earnings. But that’s a conversation for a private conversation for another day. And for everyone else, thank you so much for joining us. And I look forward to helping you increase shareholder value.
Warren Kruger: Thanks everyone.
Bill Rahhal: Thank you.
Brendan Hopkins: Have a good day.
Operator: Ladies and gentlemen, this concludes today’s conference call. You may now disconnect.